Robin Watson: Well, good morning, everyone. Welcome to our full year 2018 results presentation. I'm joined today, as ever, with David Kemp, our CFO, and our Investor Relations team. In 2018, we focused on proving the deal, mitigating risk and delivering against a clear set of operational and financial objectives. And I'm very pleased with our performance. We've not only had a significant year of delivery, we've also unlocked additional value in many areas that exceeded original targets. We returned to organic growth. Our revenue is up 12% to over $11 billion. Earnings up 5% to $630 million. That's at the upper end of guidance and expectations. And as we do this, we're generating strong cash flows. With our compelling track record of successful integration at pace, we delivered $55 million worth of cost synergies during 2018. We raised the three-year target to over $210 million, and we completed integration ahead of plan within 12 months of completion. We're also winning more and delivered over $600 million worth of revenue synergies. Crucially, we've proved the strength of our operational platform. And again, we've observed strong cash generation. This has enabled us to reduce net debt by $450 million since completion and returned $232 million to shareholders this year. Our culture is critical to how the business will grow and deliver value in the future. And fundamentally, we are a people business. This slide sums up our clear sense of direction, our culture and our values. These attributes are now embedded across the group and drive our behavior at every level in the business, at the board, at the leadership team, at executive management and right across our 60,000 colleagues. Our people create the long-lasting relationships with our customers, and they are critical for repeat business. It's our people that produce the trading performance last year, and our people underpin the investment case that we present to you today. Our people are the foundation stone of growing the business further as we broaden Wood and unlock our full potential. In creating Wood, we've brought together the comprehensive skills and operational capabilities of both Wood Group and Amec Foster Wheeler. We've created the leading business in project, engineering and technical service delivery across a broad range of core markets. We've achieved a lot since the deal completion across organizational effectiveness, integration, financial delivery and governance and risk appetite. And I'll pick up on some of these themes over the next few slides. We're in an exciting stage of Wood's development as we draw a line under the deal and move our strategic focus. We've hard-won of transforming and broadening the company's position. And in the next stage of the strategic cycle, it's all about unlocking and delivering sustainable growth from our broad capability set. Integration at pace enabled us to deliver cost synergies ahead of schedule, an in-year benefit of that was $55 million in 2018. As the integration progressed, we identified opportunities for further savings. And in August, we increased our target for annualized synergies by the end of year three to at least $210 million. This was up 24% from our initial commitment, with no increase in the anticipated cost to deliver. Whilst the main changes to establish our combined organization are complete, work in several projects will continue as we realize the remainder of the synergy's target. Recognizing the change in risk profile of the combined business, we reviewed significant contracts with profit at risk during the integration phase. As we improved our understanding of some legacy Amec Foster Wheeler contracts, we took a typically financially conservative view of likely outturn. We took the decision not to pursue the U.S. government overseas contracts and, of course, challenges in Amec Foster Wheeler. The risk in cash profile and that's what was simply not acceptable to us. We've now exited the Guam contract in the Pacific. And only one of these legacy contracts, the Aegis contract in Poland, remains active. And we've taken steps to ensure cost monitoring of progress and active management of this contract, which will be substantially operationally complete during 2019. We simplified the process for managing risk and of contracting and tender review process. We have a very robust governance process around the risk and opportunity we import into the business, which actually means that we remain commercially versatile to align with customer needs, but with an embedded risk appetite that's lower than Amec Foster Wheeler. We're a discerning contractor. What does that mean? Well, that means we're very selective in what we bid as one of only a handful of contractors in the world that can do what we do. We're very pleased to have a short-cycle, high-quality order book with about 12 months of projection, and I'll expand on that later in the presentation. We're seeing the impact of the improvement in risk management and project governance in a very high robust, high-quality bid pipeline, and that's helped us to deliver significant revenue synergies. To date, we've secured multiyear contracts worth over $600 million. This is made up of around 60 contracts. It's reflective of our enhanced capability and our ability to deliver a wider range of services to our customers. The dots in the map give you some idea of the breadth of award across North America, the Middle East, Far East, Europe and Africa. Notable wins include EPC, commissioning, start-up and operation support in Trinidad using Amec Foster Wheeler's EPC capability and with Group's track record in operation solutions and in-country presence; the FEED and detailed design for a terminal expansion project in Texas, which involved Wood Group Engineering and the geotechnical environment or survey capability from Amec Foster Wheeler; the world's largest crude oil to chemicals complex for Aramco and SABIC, that was Amec Foster Wheeler's technology and engineering combined with Wood Group's in-kingdom capability; asset management services in the Philippines for Shell's deepwater gas to power project, again, Amec Foster Wheeler's delivery of FEED and EPC services and Wood Group's core operation services capability. I could go on and on and on. The complementary customer portfolio of both legacy companies and the strong relationships within these portfolios is enabling us to broaden the services we provide and deepen still further these relationships. Our revenue synergies delivery program is now embedded in our cross-selling culture across the company. This will not be separately reported in terms of these wins as revenue synergies point forward because we do see that's now very much as business as usual. Wood as a new company. We've created an excellent operational platform across energy and industrial markets, and it positions us very well for future growth. We have world-leading capabilities in a variety of significant markets, unique expertise built over a 150-year history, a high-quality short-cycle order book, world-class people, leaders in their field and digitally connected. We have a broad geographic spread with good quality, blue chip OECD customers and a real knack of customer concentration. And all of this is focused on leveraging our differentiated service offering. And I cannot emphasize this enough: we're world leaders across a variety of sectors with our capabilities. Refining and petrochemicals, upstream lightweight topsides, global MMO capabilities, automation and control, minerals processing, EPC, PMC, EPCM, E&I capabilities, that covers most of the alphabet as well as the range of services we provide, but we are world leaders in these fields. That's the strength of the platform and the differentiated nature of the business, and I'm exceptionally proud of what we have and how we're unlocking it. Our agile teams deliver exceptional execution whilst remaining commercially astute and in using our technology advantage to create new and innovative solutions. This is a very differentiated proposition and provides us with an excellent and enduring growth pipeline. So whilst Wood may, in many senses, be a new company, the themes we're focused on this morning also put the same enduring differentiated investment proposition with which you will all be very familiar. And we are building a better, stronger, more relevant Wood from the same compelling investment platform. I'll now hand you over to David who will take you through the 2018 financial performance in some more detail.
David Kemp: Thank you, Robin, and good morning, everyone. The positive trading momentum we delivered in the first half continued in the second half, and we delivered strong organic revenue growth across all of our business units. Revenue of $11.0 billion is up 12% versus the 2017 pro forma. Adjusted EBITA at $630 million is at the top end of our EBITA guidance range, ahead of market expectations and reflects the continued momentum in trading and delivery of cost synergies of $55 million. Adjusted EBITA margin at 5.7% is down 0.3% on pro forma 2017. This largely reflects the impact of the India oil settlement in 2017, a continued competitive pricing environment and slower sector recovery in oil and gas, offset by strong cost synergy delivery. We've grown our dividend through growth in earnings and strong operational cash flow. The board has recommended a final dividend of $0.237 per share, making a total distribution for the year of $0.35, and that's an increase of 2%. It's worth highlighting a number of below-the-line items, most of which are impacted by the AFW transaction. Amortization and net finance expenses were both up in 2018 due to the inclusion of AFW acquired in October 2017. On our debt facilities, we secured $140 million part refinancing of our term loan from an existing U.S. private placement debt provider in December. And this was drawn down in February 2019. We expect amortization to be at a similar level in 2019. Our effective tax rate of 22.9% is in line with guidance and reflects the impact of U.S. tax reform, restriction on interest deductions in the U.K. and U.S., offset by the release of provisions for uncertain tax positions. We expect our effective tax rate to remain around 23% to 24% in the near-term. Exceptional costs of $183 million are generally in line with expectations, with the exception of a $32 million charge in respect of guaranteed minimum pension equalization, and that follows a court ruling in late 2018 which impacts many defined benefit schemes in the U.K. Costs to deliver synergies were $42 million, with a further $23 million recorded in CapEx. Also included in exceptional items is an impairment in the carrying value of EthosEnergy of $41 million, which was recorded in the first half of 2018. All of our business units delivered strong top line growth in 2018. In the Americas, revenue growth was driven by increased activity on capital projects, in power, downstream and chemicals and in U.S. shale pipelines and facilities. The margin benefits from growth and cost synergy delivery, and that was partly offset by cost overruns in heavy civils. In Asset Solutions EAAA, we saw strong growth in operation solutions in the Middle East and Asia Pacific, although margin was down due to the positive impact of the India oil settlement in 2017, and that was $70 million. We also had an impact of currency devaluation in Angola in 2018. Increased volumes in STS and minerals processing, automation and control contributed to earnings growth and margin improvement, and that was partly offset by the commercial close-out of a mining project in 2017. E&IS benefit from increased U.S. government and industrial spending, driving good activity levels, and margin benefited from losses on overseas capital projects in 2017 not repeating. Central costs have reduced compared to 2017, reflecting continued focus on cost discipline as the business grows and includes a modest benefit from movements in the asbestos liability discount rates. We have delivered strong cash conversion after exceptional costs of 102% and strong free cash flow, and that demonstrates the underlying quality of our earnings. Looking at cash generated from operations, we delivered a significant improvement in working capital management and a reduction in exceptional items compared to the 2017 pro forma. And I'll cover these in more detail shortly. Capital intangible spend includes $23 million related to integration. Tax, interest and dividends and other includes dividend payments of $231 million. At 31 December, our net debt was $1.5 billion, a reduction of $98 million from 2017. And net debt-to-EBITDA was reduced to 2.2 times. Our strong cash generation performance has been achieved against the backdrop of a growing business. And we are confident that we have an operational platform capable of sustainable cash generation as we continue to grow. We have delivered a turnaround in working capital performance versus the pro forma 2017. During 2018, we implemented a range of initiatives, and these included cash collection efficiencies to reduce time to build and working with customers to ensure efficiency in their invoicing processing to payment. We also embedded cash generation targets in our bonus structures. We have reduced DSO by eight days, down to a closing DSO of 64 days. Our DSO includes the impact of the receivable facility, which provides working capital funding at costs lower than existing our facilities, allows us to better manage the ratchets on our RCF and can be drawn for up to $200 million. In 2018, the facility accelerated cash of $154 million. In 2019, we are targeting further improvement in DSO. We also worked hard to ensure our payment terms for our suppliers were consistent across our business and in line with those from our customers. Together with significant increased activity, this contributed to an increase in payables of $218 million. These measures have contributed to us achieving a significant improvement in working capital management, with an inflow of $291 million compared to a pro forma 2017 outflow of $158 million. This has been achieved against the backdrop of significant revenue growth of $1.2 billion and resulted in working capital investment, which ordinarily would have led to a working capital build in the region of $100 million to $150 million. Exceptional costs in 2018 reduced significantly versus the 2017 pro forma from $290 million to $142 million. In 2018, exceptional items were largely driven by the AFW deal and included acquisition costs of $40 million and integration costs of $42 million and other restructuring costs of $15 million. We expect a further reduction in known exceptionals to around $100 million in 2019, which will include costs to deliver synergies, cash outflows in onerous leases and investigation support costs. We'd expect a further reduction in known exceptionals in 2020. We have made good progress on reducing our net debt, which is down approximately $450 million since completion of the AFW transaction. Net debt to adjusted EBITDA reduced to 2.2x, giving us significant headroom of around $900 million against the banking covenant of 3.5x. Total facilities headroom in absolute terms is $1.3 billion. The debt reduction has been driven by our delivery of structural improvements and cash conversion, growth in earnings, maintaining our capital discipline and progress on our non-core asset disposal program. We have a clear capital allocation policy, which is focused on maintaining a strong balance sheet foundation. Debt reduction, together with maintaining our progressive dividend policy, continue to be our preferred use of cash. We remain committed to achieving our target leverage policy of 1.5x net debt to adjusted EBITDA. The pace of deleveraging will be impacted by slower-than-expected recovery in oil and gas, working capital commitments on the Aegis contract and slower progress on non-core asset disposals. As a result, deleveraging will be more gradual than originally anticipated. We have also identified further asset disposals as we have evaluated our portfolio. Timing of further disposals will be dictated by maximizing value. They're expected to generate around $200 million to $300 million. We're confident with the strong cash generation. We're well positioned for organic growth and the return to acquisition-led growth in the medium term. In line with IFRS 3 accounting requirements, we undertook a review of the fair value on acquisition up to 12 months after completion. This resulted in opening balance sheet adjustments to provisions of $159 million and trade and payables -- trade payables receivables of $30 million and a tax benefit of $59 million. The net of these adjustments of $132 million is reflected in goodwill. In provisions, around $120 million relates to contracts, the majority of which is the E&IS fixed price U.S. government overseas contracts. Last year, we highlighted two contract problem areas: transmission and distribution and the overseas capital projects. Transmission and distribution is no longer a concern. With regard to E&IS overseas capital projects, we highlighted three projects. Space Fence is now operationally complete, and we're focused on commercial resolution of change orders. Point forward, this will be cash positive. We have now exited the Guam contract at an early stage by signing the contract to our joint venture partner. This necessitate a write-off of assets contributed into the joint venture, and that's reflected in the fair value adjustment. There'll be no cash draw in 2019. Finally, the Aegis contract will be operationally complete in 2019. We expect there to be a working capital outflow of approximately $80 million in 2019, which we mostly expect to recover through change orders, but not until 2021. Most of the remaining balance relates to onerous leases, which will be paid over the remaining lease terms. It's important to note the recognition threshold for fair value adjustments is lower than for normal accounting provisions, with outcome only needing to be possible rather than probable. As such, not all of these provisions are anticipated to have a cash impact. In 2019, the cash impact, including the Aegis contract, is included in our expected cash conversion for 2019 of circa 80% to 85%. For 2019, we anticipate revenue growth at the region of 5%, led by our Asset Solutions businesses, which will deliver organic earnings growth. Together with the impact of cost synergies of around $60 million, earnings are expected to be in line with market expectations. Wood compiled consensus EBITDA currently sits at $716 million. This guidance and consensus is formed pre any IFRS 16 guidance. We are confident in strong free cash flow generation of our business. Taken into consideration our structural improvement and working capital management, lower cash exceptionals and likely cash outflow from provisions in 2019, we expect cash conversion to remain strong at around 80% to 85%. We will also retain our capital discipline and cost focus. We anticipate further deleveraging in 2019, primarily driven by earnings growth and disposals. The timing of disposals will impact the pace of deleveraging and will be focused on maximizing value realization. We anticipate proceeds in the range of $200 million to $300 million. IFRS 16 becomes effective on 1st of January 2019. On adoption, we intend to use the modified retrospective approach, which means that there will be no restatement of 2018 comparators. The main change for Wood is on accounting for property leases, as these leases are moved on to the balance sheet. In the income statement, rental charges are replaced with depreciation and interest charges. As a result, we expect an increase of $30 million in EBITA and $170 million in EBITDA. We expect no material impact on operating profit. On the balance sheet, liabilities of around $650 million will be recognized. We anticipate net debt increasing by $650 million due to the inclusion of a lease liability. Our net debt-to-EBITDA ratio for the purposes of our existing debt is unchanged. Our banking covenants are based on frozen GAAP. There is also no impact on cash flow as our existing lease payment schedules remain exactly the same. In 2019, we will simplify our reporting measures. For 2019, we will adopt operating profit as our primary reporting metric, and we'll also have two additional nonstatutory measures. Adjusted EBITA, including joint venture profit, will be presented for both the group and individual business units to facilitate the understanding of underlying financial performance. Adjusted diluted EPS will also be presented, but this will now be stated before amortization arising from acquisitions only and no amortization relating to other intangibles such as software costs. We'll also no longer report on a proportionally consolidated basis. We believe these changes will simplify our reporting by aligning our primary metrics with IFRS measures and facilitating comparison across our peers. There'll be no reduction in the level of accounting disclosure at the Wood or business unit level. To recap, we are pleased with our delivery against our financial priorities that we set out at the start of the year. We have generated strong organic growth across our business units. That trading momentum, together with the delivery of cost synergies, has contributed to EBITA at the upper end of guidance and ahead of market expectations. We have delivered strong free cash flow and structurally improved cash conversion of 102%. We have made good progress against our increased cost synergy target, and we have maintained our progressive dividend policy with the proposed dividend up 2%. In terms of outlook, we expect revenue growth of around 5% to deliver organic earnings growth. Together with cost synergy delivery of $60 million, this is expected to lead to growth in EBITA in line with market expectations. And these are formed on a pre-IFRS 16 adoption basis. Having delivered structural improvements in cash generation, deleveraging will continue in 2019, with cash conversion expected to be around 80% to 85%. The timing of further asset disposals will also impact the pace of deleveraging. And with that, I'll hand back to Robin.
Robin Watson: Thank you, David. Okay, thanks, David. I'll now pick up some of the operational highlights and maybe some of the macro themes as well and then we will run it through that, summarize on key messages and move on to Q&A. So the contracts we've been awarded during 2018 really demonstrate the breadth and depth of Wood capabilities and how we're leveraging our market-leading positions. On this slide, the best we can offer you is a small snapshot of the projects that we are actually winning and executing across the globe. I hope it does give you a flavor of the type of wins we're achieving. In Asset Solutions America, we have a significant downstream presence in the U.S. To put that in some context, over the past 5 years, that business has secured about $3 billion worth of projects and contracts. Thus, this track record has led us to being awarded a major contract to provide EPC services for Jesmonite. That's a world-class facility and located on that Gulf Coast. We also continue to build our pipelines and facilities capability, playing a major role in addressing the capacity constraints within shale. And in that context, we're recently awarded a major contract for engineering design and permitting services for 80 miles of pipeline connecting the Permian, Eagle Ford to the Gulf Coast refining terminals. In the EAAA business, our contracts with ADNOC was a great example of how we continue to build on enduring customer relationships. This is a relationship that we've had for the past 40 years with this particular customer. And our good track record of providing project management consultancy services enabled us to extend and secure a significant contract with them for PMC services across our onshore assets in Abu Dhabi. We continue to grow there across our particular region with a variety of other NOCs and IOCs in a very similar vein. In STS, we're providing specialist expertise related to our market-leading delayed coking capabilities, for example, the Duqm Refinery in Oman. In securing that particular award, we also leverage off the involvement of our Asset Solutions businesses in early engineering and design of the refinery. The last project will likely highlight just how diverse our service offering is. In our E&IS business, we're actually providing design and construction management services for the expansion of a transit rail service in Canada. That strengthens our position as an industry leader in rail design in that particular area. I think that's a really good illustrative example of an opportunity to deploy our world-class E&I skills across that broad infrastructure footprint. It's particularly relevant when we consider issues around growing urbanization and the sustainability of our existing built environment. So downstream, operation solutions, capital projects, technical consultancy, transportation, we feel this helps gives a flavor of the diversity of sector and service capability we have across energy, industry and this built environment. And when you also consider the geographic range of these individual examples, they do serve as an excellent proxy to the breadth and differentiation we've created with Wood. Our order book at the 31st of December was at around $10.3 billion, approximately a year's revenue lookahead. We're comfortable with the shape of this, which reflects our measured risk appetite. Around 70% of that order book is reimbursable; a further 20% comprises smaller fixed-price contracts, less than $100 million; and just under 10% provides fixed-price contracts over $100 million. So versus something of an ebb and flow turned order book between total value and its makeup just as it's timed around contracts being won and contracts and projects being completed, the scale, shape and phasing of our order book has remained really quite consistent and predictive. The order books also reflect of our commercial model. That is an asset-light, flexible, short-cycle technical services delivery. Much of the work is won and executed in the same period, with about 60% of 2019 revenues reflected in the order books secured at this point. We therefore have confidence over continued revenue growth through 2019. David covered the financial performance of the BUs. It's perhaps worth adding a little more color to this in terms of characterizing the operational highlights and what we consider the outlook to be. We saw higher activity levels across all the business units. In Asset Solutions Americas, this was driven in power, downstream and chemicals and U.S. shale. In ASEAAA, that grew an operation solutions work in Asia Pac and the Middle East in a variety of FEED wins in the capital projects division. Specialist Technical Solutions delivered increased activity in minerals processing, automation and control, and in technical consultancy and studies work. And the E&I business saw increased consultancy work with long-standing customers in both the U.S. and Canada. Looking to 2019, we expect growth -- top line growth in the region of 5%. We expect the growth in Asset Solutions Americas weighted around the second half. In downstream and chemicals, work in the Gulf Coast is expected to increase in '19, and we remain well positioned for further opportunities. Momentum in U.S. shale is also expected to continue. And we've retained our market-leading position in offshore engineering and have improving visibility of early-stage concept in FEED projects. We're encouraged by recent awards in the power division, weighted to solar and wind opportunities, which combine to that increased activity in the second half of '19. We anticipate growth in Asset Solutions EAAA also this year. In operations solutions, we see opportunities in the Middle East. Growth in Asia Pac is expected to be focused on Papua New Guinea and Australia. Activity on the FEED and project management consultancy scope is expected to contribute to growth in capital projects. And we do see a positive outlook for modifications work in the North Sea. In STS, we expect moderate revenue growth. The Gruyere Gold contract, the minerals process and then automation and control scope and TCO projects both continue through 2019. We see a good pipeline of opportunities with which we're well positioned across each of our STS service lines. And we specifically see a variety of potential capital projects for which our technology and consultant business is well positioned. In E&IS, we see good opportunities as government and industrial spending increases in the U.S. and Canada, although the U.S. government shutdown has impacted the pace of award early in 2019. Let me just give you a flavor of some of the more macro themes we have seen across our various accessible end markets. Again, most of you will be familiar with this slide. Capital discipline remains prominent for Upstream customers, particularly after the 2018 Q4 fluctuations in commodity price. In onshore, we expect the increase in shale to continue as we've seen in the last 18 months or so. And we see an improvement for operation services in certain specific markets, again, the Middle East, Asia Pac, to a certain extent, in the U.K. Overall, we do expect pricing pressure pretty much to remain, and that's largely driven by the suppressed level of volumes in Upstream. In Downstream, we're seeing investment to increase capacity driven by lower feedstock prices and growth in demand for chemical projects, particularly in the Middle East, Asia and the U.S. International IMO regulations in sulphur emissions continue to drive the demand for refinery upgrades to ensure compliance. And in power and clean energy markets in the U.S.A., we're seeing continued opportunities in combined cycle power generation projects, and we also remain well positioned for solar and wind opportunities. Continued government investment in infrastructure projects is expected to generate growth in environmental and infrastructure-related activities, and we're seeing this particularly in the U.S.A. and Eastern Canada, with good opportunities for environmental consultancy services, as does our core business around land remediation and our waste disposal advisory services. In mining and minerals, we expect the demand for minerals to continue to strengthen. We also see an increased demand for more precious minerals such as gold. So I'd just use this overview to highlight, and I think it does it pretty well, in the creation of Wood, we've broadened the business offering to reflect the market exposure that is less turbulent than one entirely focused in upstream oil and gas. We have a great opportunity therefore to apply our highly differentiated services in attractive markets, which are orientated around the generational trends I'm sure we'll all recognize the energy transition, the effect of digitization and technical differentiation, urbanization and the sustainable characteristics of our built environment, and the future skills and capabilities we need to remain relevant in the future. The positive commentary around these markets and our position within them is hopefully of some benefit. So in summary, I'm really pleased with the performance in 2018. We really are at an exciting stage in Wood's development. We've transformed the business and broadened our capabilities. We've not only had a significant year of delivery through 2018, we've actually included additional value in many areas which has exceeded our original expectations. We've returned to growth. And as we do this, we're generating strong cash flows. And we've also returned a progressive dividend to our shareholders as well as paying off a significant level of debt. This is a really strong base to build on. And we move into the next stage of the strategic cycle, which is all around unlocking and delivering the sustainable long-term growth with our broader capability set. We know there are and will be challenges. We're holding businesses for divestment, and we remain fully committed to deleveraging further. But the integration of Amec Foster Wheeler is now behind us. The full year '18 results provide confidence that our long-term strategy is the correct one. Our investment and subsequent integration of our businesses have enabled us to create a much broader portfolio to enhance our existing strengths. With good growth prospects across a range of energy and industrial markets, we are very well positioned to deliver sustainable growth in '19 and over the longer-term horizon. And all of this is underpinned by our high-quality order book. We have invested in our future of end markets, our capability set and are positioned around these generational trends. This has reduced our industry and sector volatility and, therefore, reduced risks through establishing and delivering against a more balanced portfolio with good trading momentum. And we're really excited about the opportunity that we have ahead of us. That will be an opportunity to grow the business through our proven ability to up and cross-sell our solutions across markets, industries and sectors, and further leverage the skills that differentiate us. With that, we will now take any questions.
A - Robin Watson: You choose, Dave.
Michael Rae: It's Michael Rae from Redburn. I'll just go ahead. So just briefly on the receivable facility, I think when you introduced that, you described that as something that you would kind of dip in and out of and I didn't really expect it to be drawn to this extent at this point. Is it more drawn than you'd planned? And how should we think about it in 2019? Is it going to be a use of cash to repay it? Or will you just sit with it drawn at this level? Then the second question is just on the relative growth in 2019 versus 2018. So you're going from a year of very, very strong growth to more like mid-single digits. I know you've run through some of the divisional trends in the slides there. But is there anything you would draw out as being particularly different this year as compared to last year when it comes to top line growth for the business? And then the final question is just on the Guam project that you highlighted. So I think the signal you're giving us that it's completed and handed over. But I think you only said there wouldn't be a cash outflow in 2019. So was that a deliberate comment? Is there a cash outflow in 2020 or beyond?
David Kemp: So I think, first of all, in terms of Guam, there is no further cash outflow, so we've exited the contract. As I said, that's resulted in the write-off of some joint venture assets we've put into the joint venture, but there is no legacy liability after that in '19 or '20. I think it's also -- hopefully, you get the broader view of it. At the end of last year, we started with problem contracts in TND. We started with problem contracts in E&IS overseas. At this point, we're now down to Aegis. And it's not to diminish the challenge that we have with Aegis, but there has been a narrowing of the problem contracts. In terms of the receivables facility, again, to say it in context, we have a facility of $200 million. We don't plan to increase that or reduce it. It's roughly about 5% of our overall financing, so it's a very small part. For us, it is cheaper than our core cost of debt. So we will vary about. In terms of have we used it more or less, probably about how we expected to use it. We're not planning to increase the facility. We'll use it within that range, up to the $200 million level. Growth?
Robin Watson: Yes. I think in terms of growth, Michael, I think there's a couple of things just to reflect on. But in not doing these capital projects, they do flutter to give a lot of revenue coming through the business. We end flattened by revenue as all of the bottom line position. So that's -- that does have some impact because you no longer look at putting these into the order book. We don't look on them as opportunities. We don't actively pursue them. We are running through the follow-on engineering in a lot of our Upstream projects. And the Q4 oil price shaft is just suppressed capital expenditure in Upstream oil and gas, which is still 30% of our footprint. So that has some effect in terms of that top line position. Some of our bigger projects, TCO is a good example, it's just post the peak period of activity, so it kind of comes off of that. And obviously, we replaced that through the order book. Then that's post its peak period of activity levels. So these are some of the more -- just a broad brush aspects of it. We feel comfortable with a 5% growth in top line that we will actually receive as we shift our portfolio on the table, one that would actually position in ourself for.
David Kemp: A lot is the continuation of the themes. As Robin picked up, we've seen really excellent growth in Downstream and in U.S. shale pipelines. We still see a very strong bidding activity in North America in Downstream capital projects. And particularly on U.S. shale pipelines, as opposed to the facilities in EAAA in operation services, we still see very good opportunities in the Middle East. We still see good opportunities in Australia, Asia Pacific. And these are continuations of themes from 2018 rather than a new theme.
Henry Tarr: It's Henry Tarr from Berenberg. Just a couple of questions. And one on the exceptionals for 2019, you're still expecting $100 million. Could you run through the sort of breakdown of that just to get a good sense? And then in terms of cash conversion you expect for '19 as well, 80% to 85%, is that lower because of IFRS 16 versus 100% delivered in 2018? Or is there some underlying other reason here?
Robin Watson: No. So I guess in terms of the first one, there is no relation to IFRS 16. Really, 80% to 85% is reflecting: one, the exceptional spend that we have; one, continued reduction in DSO. So we do expect further improvement in that. And again, its presence as opposed to exceptional number.
David Kemp: What's your first question again, sorry?
Henry Tarr: Just on the breaks then, on the breakdown of the exceptionals.
David Kemp: The exceptionals. As we said, we do -- for '19, we do expect the cash exceptionals to reduce from the $142 million to $100 million. It's going to be some of the same theme. So there's going to be investigation costs in there, the play out of onerous leases and also the integration costs. So overall, we expect integration costs to be $50 million, but that will be split across CapEx and the P&L.
Michael Alsford: It's Michael Alsford from Citi. A couple of questions. Understandably, you mentioned pricing pressures still in oil and gas. I was wondering whether you could talk a little bit about more the broader end markets. Do you have -- and whether you're seeing any ability to push through pricing into those markets. And then secondly, just to follow on from the last question. On the integration costs of $50 million or so for '19, how does that trend into 2020?
Robin Watson: Yes. So the -- in terms of pricing pressure, Michael, so even in oil and gas, I would say, shale, we've seen pricing uplift. So that's been -- it's came through volume, then -- volume type of gamut before price. Again, shale rapidly -- doing rapidly back up would be kind of more of a characteristic of it. Across our other oil and gas footprint, generally, pricing remains pretty suppressed and the volumes just aren't coming back in the way that probably most of us would have thought 18 months ago they would've. In terms of the broader footprint, no. There really are indices. We've seen some heat in some of the E&I business in the U.S. There are some hotspots around the geographies, East Canada, the type of what we're doing there as part of a fairly significant range of private and public infrastructure investment, which is usually helpful, but does give you a pocket of kind of fairly intense activity which allows pricing uplift. Our E&I business, generally, we will characterize as a kind of 7% business. And the core E&I -- that core E&I footprint, that's what we anticipate coming through on it. It's interesting, if you look at the power businesses, it's fairly competitive that, again, you become one of four, four or five credible contractors to be able to do it. So you're in a relatively differentiated position in that regard, but we still bid the work. We also are very dynamic in terms of looking at our win rate specific to a project type or a geography and determine an oh, is that coming up? I bet. So actually, is it about our pricing pressure? We need to introduce ourselves. I'd characterize it in terms of downstream, relatively tight margins, anyway. It's fairly competitive of -- albeit with a small number of players. Upstream shale is probably the exemption rather than the rule. Although the Middle East activity has began an outstrip -- a supply and demand of outstrip in terms of activity level. If you look at non-oil and gas, the energy footprint is quite regionalized. If you look at the mining and minerals business, again, pretty differentiated. So good. And we have seen wage escalation in that business. In E&I, we've seen about a wage escalation. So it's a broad mix that we have.
David Kemp: I guess in terms of integration costs, we would expect a further modest reduction in 2020.
Tarek Soliman: Tarek, HSBC. David, I believe you probably said what you can on debt reduction profile, but is there anything else you can say about -- I know you're probably not going to anchor yourself to another -- a target. But how do you expect that to play out even by half year-by-half year? And the second question was -- there was a hint about the changes at the -- on the board then this morning, whether there's anything to note about that?
Robin Watson: Maybe I'll start with the board changes. Obviously, we have announced there's 3 directors who are ultimately going to be leaving. That will be a long transition. In the case of the Chairman, Ian, he's caught up with the new governance rules that have come in. He's been on our board significantly longer than 9 years. The intention is he will be around for an extended transition. In terms Jann Brown, as you guys all probably know, Jann has picked up the role of CFO and I think Managing Director of SOCO. And there is a lot of corporate activity in SOCO. They have the same year-end as us, so that just became unmanageable for Jann, and she will be a loss to us. And finally, with Linda, Linda is for personal reasons. She's based in the U.S. In terms of the deleveraging, we'll maybe set out just where we are. We remain very committed to a strong balance sheet and actually, the progressive dividend growth. The trajectory we've had is a reduction of $450 million since completion. And we do feel we've made structural improvements to cash generation. If we look at our DSO, it's improved by 8 days. We've aligned the payment terms. Part of that was aligning the payment terms within our own business so that we were consistent, but also with the payment terms we face. If we look at the working capital improvement, we've had over $400 million of a difference from 2017. Part of that is the receivables facility, but we've also managed to absorb the working capital investment from growth as well. So where we are just now is we've identified a larger pool of disposals that are not strategic to us. There is some good businesses within there that just don't fit in our broader strategic narrative if you look at our investment case. If you look at the $50 million of disposals we've done, a lot of it has been around infrastructure. We have no real interest in being in the infrastructure space. But I think the key thing, and it affects the timing of the leveraging, is we're not going to be held to arbitrary time lines around the disposals. We're very focused to making sure we get the best value for the assets, and we have value expectations. And if we don't get these, we're not going to fast sell our asset sales to meet arbitrary deadlines. So what we signal today is a gradual reduction in the debt. How we get to the 1.5 times, part of it is going to be the profit growth. So in '19, we do see our profit growing. We also see our debt reducing. That debt reduction will be modest in 2019. And you can work through the numbers in terms of we've given you the 80% to 85% cash conversion. We've given you the expected level of exceptionals, so that the float in that is obviously the pace of disposals. And really, the big message there, that's going to be governed by value rather than arbitrary deadlines.
David Farrell: David Farrell from Credit Suisse. Two bigger-picture questions, please. Firstly, LNG, as if we're going into a bit of a super cycle, is there any exposure that Wood Group can get to that in terms of revenue growth? And then secondly, digitalization. In some ways, it looks like it could be a benefit for your company. But equally, it's going to probably take men off platforms in the North Sea and elsewhere. Can you talk about the negative impacts it might have on your business, please?
Unidentified Company Representative : Yes, why don't we talk about deposit?
Robin Watson: Can you talk about deposits?
Unidentified Company Representative : Yes, yes. Well, I'll talk about deposit. But anyway, I'm not going to answer the question, obviously. And so from an LNG perspective, I mean, the short answer there is yes. We have done a variety of activities in support of LNG projects. And I think I would characterize that, again, it's not the technology play. We don't have LNG technology capability, but there is a lot of balance of planned opportunities in the mature assets. So there's a lot of brownfield MMO opportunities. And actually, we float in LNG. We've got quite a capability obviously in designing and build things that float and are light and are efficient as well as the Subsea aspects of that. So yes is the short answer to are we interested in LNG. Would we bet the farm on it and just go do an LNG? No, I think it's just part of that broadened capability and it fits into -- we have it in the midstream area, actually, in terms of the product stream itself. And in terms of a digitization, yes, we're very active in digitization. We have been actually for a number of years. We actually -- the -- even during the downturn, we introduced seed funding to unlock technologically differentiated opportunities to us and commercialize them. So you've got the good idea, the domain knowledge and the commercial aspect of it. It doesn't concern us that it would be less orientated to high numbers of people if you can find a digital alternative. We're working actively on things like cloud engineering where we engineer it to the cloud, and it gives us that digitally connected workforce. We do -- actually, in the field, we've taken iPads into the field, we do e-working. We've got a proposition there that actually reduces the number of engineers that we have that need to go into the field to carry out some of these and rectify technical challenges. So actually, we celebrate it. We see it as a disruptor. But as a technology and a technical company, we see ourselves having a domain knowledge that really unlock it well. It culminated. We appointed a CTO last year. And it's the first time that Wood has ever had a CTO position in our business. And just know, we're incubating a number of opportunities in that space in our STS business, Specialist Technical Solutions business, because that's where we kind of generate a lot of the ideas that we have coming up. I think there is something on doing things new and different because it's a new and different thing to do. I think that's also using digitization to be better at doing the things that you do as a norm engineering in the future will change to what we do just now, catalog engineering and the likes. So digitization, we do see it as a disruptor. Like any disruptor, there's a threat side to it as well as an opportunity, but we do see it mostly on the opportunity side. And one thing I would say just to finalize, the domain knowledge is the thing that's really valuable. Actually, the technology is fairly commoditized. So we've got a range of different joint venture partners with technology capability, the largest being IBM. And we've got a lot of Tier 2, Tier 3 tech companies that we work with closely. The domain knowledge that we have is the real jewel in the crown in that regard.
Robert Pulleyn: Rob Pulleyn from Morgan Stanley. If we can stay with the positive side, Rob. So talking about the outlook, so it's a multifaceted question. But one of the key revenue synergies you highlighted was a project for Aramco in the Downstream, a company that seems to have very big ambitions in the Downstream. So can you maybe just add a little bit more color around how you can see your opportunity set there as they work through those projects? Secondly, many of your competitors or other companies in the supply chain has seen green shoots offshore, and you have two pretty strong engineering brands in that spirit. Could you give a little bit of color there? And then finally, and I'm sorry to revert on Aegis, but you seemed pretty confident you're going to get the recovery of these additional costs. Could you maybe just speak to what gives you that confidence regarding the 2021 recovery?
Robin Watson: Okay, so in terms of the revenue synergies, yes, I think a theme that we do see -- and Saudi Aramco are probably at the front end of the curve as a lot of petrol economies where the GDP of a country is largely orientated around oil and gas, there is a lot of thinking on if transportation's increasingly electrified, what do I do with my oil? What is the value in the oil that I have? And that can be anything from plastics facilities to petrochemicals to a whole range of potential product streams that comes out of it. So crude oil and chemicals there, I think it's an example, but it's a tremendous proxy. Firstly, because it's the first one out of the blocks. Secondly, because of the scale of it. And thirdly, because it will be a success because it's so orientated to the predisposition that rests within Saudi Arabia that we sense to make sure that the oil value remains relevant in the future as energy transition progresses. We've got a good strong relationship with Aramco and SABIC, both actually -- and SABIC, funnily enough, they disseminate project. They have a joint partner with Exxon on that. So there's the in-country capability, but there's also once you've technologically solved some of these challenges, what does that mean for the broader refining sector? Does refining and petrochemical were the 2 or currently entirely different things? Is there much more of a crossover of the circles? I mean, there will be different things and they are chemically different outputs. But actually, as our overlap inevitably going to change, we think gas. And we're delighted to be in the largest and the first crude oil-to-chemicals project. Another thing I would say there is, there is broader investment to broaden the economic footprint from oil and gas not just in Saudi Arabia, but right across the Middle East and across emerging economies where it's been entirely reliant on the gift of oil and gas. I think in terms of the offshore activities, we've kept our market-leading position. I think it's important to say, we've pretty much pegged up everything that's been going in the last couple of years. And we're still with that skill set in Houston, which we're very proud of and which we've actually increasingly unlocked globally. It works much closer with the U.K. and India and Colombia than perhaps it had four or five years ago in terms of unlocking that broader talent base that we have. There's a lot of studies coming up. There's a -- there's some follow-on engineer -- in our current scope, there's follow-on engineering. But there's a lot of studies we see some feed opportunities, and we see a good order book in terms of modifications while that's a bit more sophisticated. I think the Q4 fluctuation in oil price, just to remind ourselves, that come down 30% [a thud] over three months. That certainly -- and being in the final quarter of the year, that's definitely hampered capital plans in upstream oil and gas opportunities. So I think the challenge remains, what does the market look like? Our position in the market is very good. What does the market look like in terms of big tangible projects? There's a number out there, Tigris, [Royce] Bank, et cetera, well positioned and good discussions that I think most of that -- well, most of them have moved to the right. There maybe some continuing way in rather than [if] to beat around it. I think in terms of Aegis, we feel it's a troubled project. And it's not a type of project that we would have entered as Wood Group. And that's one of the reasons, as Wood, we've determined we don't bid for that type of work because it's just challenging, it's overseas, it's lump sum, it's relying on a supply in base that you're unfamiliar with, et cetera, the list goes on. And when we do look at some of the reasons, however, for the challenges in the project, there have been a range of issues with the actual contract assumptions themselves. There's been some weather exemptions, for example. And things of that nature that provide we feel reasonable grounds for claims through the AFW period of managing and delivering the project. And just know, we are firmly focused on executing it. In terms of operational completion, it's about 80% complete operationally in the field. And we've got a very high caliber team that are in now delivering it, and they'll take it over the line. As I say, it will be substantially operationally complete this year. The changes that we see and some of the change orders that we will be -- that we are currently working on and will be submitting to the U.S. government, we think were very credible, very reasonable claims that we will have. And we'll go through that process and, to David's point, it will not be quick. But we are confident that there's a range of claims there that are definitely justifiable.
David Kemp: As you would expect, having gone through the other process, it's also supported by legal advice and commercial assessments.
Victoria McCulloch: Victoria McCulloch for RBC. Excluding the receivables facility, can you just talk us through how you further improve the DSO days? And do you feel there are more levers that you have to pull? And with pricing particularly remaining challenging and, let's say, looking ahead to 2019, are you seeing any cost inflation? I guess I'm particularly thinking around salaries and maybe particularly the U.S.
David Kemp: In terms of the DSO days, yes, we do see an opportunity. I think we've made a significant improvement if you go back in terms of structurally improving it this year. The challenge we give to our business units is to constantly improve. Where do we get that improvement? One is our revenue time to bill. How do we become better at billing because that just knocks days off the process? There's no silver bullet. Part of it is actually how we work with customers. We typically do looking at our worst DSO, focus on those material and try and drive improvements there. There's just a whole range of activities that we focus on to try and improve DSO across our business. And in terms of the salary inflation, generally, we're in just the normal range of 2% to 3%, certainly, across our bigger markets. Where we have seen more inflation at the back end of last year was in U.S. shale, and that's where we've got the pricing opportunity, but we have also seen cost inflation in terms of our people there. And we've responded to that where appropriate. But generally, it's still been in that 2% to 3% space in terms of salary inflation for us in our bigger markets.
James Evans: James Evans at Exane. A couple from me. David, I know you said you didn't want to be tied down on timing of disposals. But is there anything at an advanced stage that you could maybe not name, but share with us to give us some visibility on that? Secondly, Robin, I think in your slide, you talked about margin enhancement opportunities in STS. So I just wondered if you could give us more color on what you want to do there. And then I guess sort of maybe about -- to David, on the payables, I mean, amazing performance in 2018. Just wondered how you've actually achieved that. And is there -- do you need to see any more to go there? How have your suppliers reacted? And just obviously, quite a big change versus where you were historically. Does that just reflect the weakness in the market? And what you've seen pushed on you, you've been to able to push on to your suppliers as well?
David Kemp: Okay. I think in terms of our payables, I'll maybe start with that one first. We don't see a bigger opportunity around payables. We changed our terms from 45 to 60 days. And so that, combined with the increase in activity, is what's driven the increased payables balance. And I think it's important to remember that increase in activity. I think sometimes, that gets forgotten. We have no plans to actually change our terms from 60 days. Again, where were we in that? That was largely a reflection of we fell a bit like the squeezed middle and that how our customers were passing on terms, either explicitly or implicitly, to us. And for a long time, we'd start with 30 days and then we gradually moved to 45 days. And we're probably about the last to move to 60 days. So we do do things like these reluctantly. We don't see a bigger working capital benefit in 2019. That's not what we're modeling around payables. In terms of the timing of the disposals, you're right, we don't want to get tied into deadlines. It is about generating value for us. We do have a couple of very active processes that are ongoing just now. As we all know, where disposals sit, they're not done until they're actually done.
Robin Watson: That's a good headline, actually. It's not done til it's done. Now I think that one, that's a...
David Kemp: [Indiscernible]?
Robin Watson: In terms of margin enhancement, I mean, what we have done is we've integrated the businesses, James. We've really tried to colocate people and make our cross-selling much more prominent. So for example, automation and control, we're actively cross-selling internally. And we've physically changed where people are located. It is not just STS, we do it in E&I as well. But STS is a great example where, generally, we're catching now early in the bid process. A refinery upgrade, for example, we will have an automation and control proposition that will end there. So I think in terms of margin enhancement, there's an element of that. And actually, that avoids an independent tender process. And actually, we can integrate and provide less customer interfaces on an enhanced output for us. Digitization, we are thoughtful with this. Some software businesses are very small in scale but actually, they do give us a very enhance margin, albeit off of a very low volume. How to reduce more of that? Well, you're actually providing a solution quickly in enhanced margin rather than a service over an extended period, a more of moderate margin. I think our technical consultancy business, we've really unlocked that. And that does feel as if it was somewhat stranded in a previous existence. The leader of what was the delayed coking business in Amec Foster Wheeler. He now heads up all the studies and technical consultant, very talented individual and have kind of unlocked his potential to the business. And there's no coincidence of a -- opportunity pipeline. And our order book actually has got a number of really very attractive technical consultant opportunities within it. We've also created an STS with professional services. And there's, I'd say, a very quality QS business, which, again, was about a loss. It was a -- I don't know if you recall, Amec Foster Wheeler bought a company, Rider Hunt, I believe -- I don't know 10 years ago -- a decade-or-so ago. But actually, that business is there, but lost the qedi business, their old commissioning business. So I'd say, unlocking some of these differentiated, specialized, kind of relatively low volume, but very valued capabilities, these are the areas within STS that we're really pushing for margin enhancement. Yes.
James Thompson: It's James Thompson from JPMorgan. Just a couple of quick ones, please. You mentioned there was the oil price gyrations in the fourth quarter. Clearly, that has an impact, probably not -- more so than in U.S. shale. I guess in my mind, I felt the midstream and pipeline work would be the first part of the year, and then you'd move into sort of shale facilities, well pads, et cetera, things like that. I just wondered if you could maybe give us an update on there. Are you getting many expressions of interest to start building out some of the facility side of things in shale in the second half of the year? And then just secondly, you obviously have done $600 million of revenue synergies so far, which is clearly a great effort. But I mean, in the last time we spoke, you were targeting over $1 billion. I don't think you're going to report it now, but are you still confident that you can get over $1 billion of revenue synergies?
Robin Watson: So in terms of shale, James, yes is a short answer. So we're doing pipeline work for sure. But within that, we've got actually some civils, some broader scopes that go with it, not necessarily related to individual pipelines that we're working on, but the broader, if you like, build -- built environment scope. For gas process and facilities, obviously, it's just not producing more. And it's going to very high levels of production. The anticipation is that the U.S. will be an export -- well, producing and available for export up to 9 million barrels a day by 2022. That's a sort of scale of it from marking a 3 million starting point just as it were a couple of years ago. So the volumes are significant. Gas process and facilities, pumping stations as well as pipelines, everything that goes with it, we're seeing lots of opportunities in that area. It tends to be -- the Permian is, by far, the largest shale activity set. Just know that probably more than half of our shale activity is across the Permian, and the Niobrara comes in behind that, and quite a good spread across the other regions. So yes, the shale facilities will be an increasing part of our construction efforts in the U.S. In terms of the revenue synergies, the short answer is yes. Will we get through $1 billion? Yes, we'll get through $1 billion of revenue synergies. I'm very confident of that. When we -- the August midyear, I think we're at $400 million, it's $600 million. We are actively up and cross-selling our services across internally. And actually, I think another thing that is perhaps worth reflecting on, our customers -- we do great customer relationships. They do like doing business with us, which is during -- again, is this market versus market share analogy. We will get more volume with customers because they will trust us to provide that additional service. Not all customers at all times are procuring more bundled services, but that is definitely a trend we're seeing. Even in the North Sea, we're seeing a bit more of that could you pull these 3 service lanes together. We'd even see it in the North Sea, which the most mature, most commoditized oil and gas sector. So revenue synergies, know that the $1 billion that I alluded, there are unrests. And for that pipeline, there's $1 billion of opportunity in that, as we speak. Well, at year-end, there was $1 billion in that. Know that has to get the go-get and then for the pursue, and then or do you win, but just to give you some idea of kind of scale of broad opportunities over there.
David Kemp: And just maybe to add in some of the shale, one of the areas we've highlighted as good growth is in the downstream and chemicals. That is at the end of effectively the shale process on the Gulf Coast, whether it's through terminals or whether it's through petrochemical or refinery, we do see that as a very active market for us in terms of opportunities. And equally, there's still quite a lot in the bid pipeline around pipeline work as well.
Robin Watson: Any final questions? Mark?
Mark Wilson: Mark Wilson from Jefferies. First, for David. You've increased there the range of disposals. But I'd just like to ask about Ethos. Within that fair value less disposals of $29 million and 400 -- over $400 million of net revenue, is that actually the disposal value you feel you carry?
David Kemp: No, I think in terms of where we are with Ethos, Ethos is an asset we flagged as being non-core. Again, for us, we've got a clear value expectation. That's not the same as the book value that we have. The book value is part of the accounting we do at the year-end, and that reflects $29 million there. Ethos has been a challenge to sell and get the value that we think is appropriate. Just know, we're looking more at the restructuring of that business so that we can secure the proper value.
Mark Wilson: I do actually have another accounting question. Just can you explain how -- what the cash pooling arrangements are that lead short-term debt to go from $540 million to $980 million?
David Kemp: This is not a new thing. This was -- there's a -- I think it's called an IFRIC that came out that meant you have to actually split out your cash pooling. So for us, on a day-to-day basis, there's no change at all. I thought we are [cash consented] approval offsets against our debt. But actually, unless you actually physically book those accounting entries, you can't actually show it as that in your accounts. So this is something I think came in, in '17, actually.
Mark Wilson: Okay. Then lastly, Robin, on contract. I think the TCO contract has been a very successful one for you, and probably one of the largest ones the last few years. Where should we be looking for that type of contract again or -- and one like that in the future?
Robin Watson: Yes, I mean, it's a megaproject. You look at cash again in the Caspian, there's an offshore scope, there's an onshore scope. For those, there are three. With these projects on there, I would like to know what garden it's in. To be honest, Mark, it's probably the exception rather than the rule. I wouldn't characterize our -- any of our businesses as just -- it's like crude oil-to-chemicals as kind of a generational project. That being said, a lot of the significant upgrades do involve quite a significant automation and control scope. You will very seldom be doing anything with a refinery with an offshore installation and everything in between that didn't have an automation and control. Some of it, also the -- or the very real digitization shift that we've seen. There's many more transducers being put there, probes, measurements, more digital devices. As we said, automation and control business is well positioned. I think TCO, I would view as the exception rather than the rule. There are, however, some [indiscernible] in [rules ban] is not an insignificant project, as an example.
Robin Watson: Good. Thank you very much, folks.